Operator: Good day. And welcome to the Proofpoint Q4 and Year End 2020 Results Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Jason Starr, Vice President, Investor Relations. You may begin.
Jason Starr: Thanks, Jim. Good afternoon, and welcome to Proofpoint's Fourth Quarter 2020 Earnings Call. Today, we'll be discussing our results for, not only the fourth quarter, but also the full year 2020, as detailed in the press release that we issued after the market closed this afternoon, a copy of which is available on the Investor Relations section of our website. Joining me here on the call are Gary Steele, Proofpoint's Chief Executive Officer and Chairman of the Board; and Paul Auvil, Proofpoint's Chief Financial Officer. During the course of this call, we will make forward-looking statements regarding future events and future financial performance of the company, which are subject to material risks and uncertainties that could cause actual results to differ materially. Of note, we believe that the COVID-19 crisis continues to create additional complexity when it comes to providing a forward-looking view of the business, and we are providing our guidance on a good faith basis for recent SEC recommendations. We caution you to consider the important risk factors contained in the press release and on this conference call. These risk factors are also more fully detailed under the caption Risk Factors in Proofpoint's filings with the SEC, including our most recent Form 10-Q. These forward-looking statements are based on assumptions that we believe to be reasonable as of today's date, February 4, 2021. We undertake no obligation to update these statements as a result of new information or future events. Of note, it is Proofpoint's policy to neither reiterate nor adjust the financial guidance provided on today's call unless it is also done through a public disclosure, such as a press release or through the filing of a Form 8-K. Additionally, we will present both GAAP and non-GAAP financial measures on today's call. These non-GAAP measures exclude a number of items as set forth in our release. These non-GAAP measures are not intended to be considered in isolation from, a substitute for, or superior to our GAAP results, and we encourage you to consider all measures when analyzing Proofpoint's performance. A reconciliation of GAAP to non-GAAP measures and a list of the reasons why the company uses these non-GAAP measures are included in today's press release. Finally, in addition to reading our press releases and SEC filings, we encourage investors to also monitor not only in the Investors section of our website, but also our corporate blog as we routinely post investor-oriented information such as News and Events, Financial Filings, Webcasts, Presentations and other relevant materials on those pages, both of these are available at investors.proofpoint.com. So with that said, I'll turn the call over to Gary.
Gary Steele: Thanks, Jason. I'd like to thank everyone for joining us on the call today. We are very pleased with our fourth quarter results closing out a challenging year on an exceptionally positive note, beating our guidance on all metrics and demonstrating significant progress in advancing our people-centric security and compliance strategy and further extending our market leadership in this new category in the process. For the full year 2020, we exceeded $1 billion in annual revenue, and we're very proud to be the first SaaS-based cybersecurity company to accomplish this important milestone. Our results further demonstrate the compelling operating leverage intrinsic to the business model that we have carefully cultivated over the years with our non-GAAP operating metrics, such as gross margin, net income and free cash flow, all coming in well ahead of our guidance. Overall, the competitive environment remains favorable, and our people-centric approach to cybersecurity and compliance is resonating with our customers and prospects alike, as evidenced by our continued high win rates, robust demand for both our core and emerging products and driven by our superior efficacy levels and unique visibility into the highly active threat landscape. All of these factors leave us well positioned to deliver on the reacceleration of growth that we plan to deliver over the course of the coming year. We ended the year with nearly 8,000 enterprise customers, each of which contributes a minimum of $10,000 in annual recurring revenue to our business and an increase of 13% over the past year, which we view as a very solid result given the challenges experienced in many of our target vertical markets, such as health care, travel, hospitality, retail and energy. This included 57% of the Fortune 1000 and 27% of the Global 2000, each with at least one product and upfront 54% and 24%, respectively, in 2019. Beyond these strong results and despite the headwinds related to the pandemic that we faced throughout the year, our business momentum remains strong. And we've made several important investments to expand our product offerings, while also scaling our organization and infrastructure around the world, all with an eye towards emerging from this crisis in an even stronger position to capture the significant growth opportunity that lies ahead. Current work-from-home mandates have permanently shifted the legacy security perimeter from the traditional corporate network firewall to a new work-from-anywhere paradigm, where data is everywhere. As a result, the attack service has completely changed, extending to wherever the employee happens to be accessing corporate data. People are the new perimeter, which requires a fundamentally different architecture, and Proofpoint is uniquely positioned to enable enterprises to defend this new perimeter by applying the advanced threat capabilities that we originally developed for our cloud-based email solution and extending them to all cloud-based applications and repositories where data resides with all of this enabled by leveraging our newest capabilities like Cloud App Security Broker, or CASB, and browser isolation. Beyond world-class advanced threat protection, Proofpoint also provides a robust set of cloud-based information protection offerings, which enable customers to defend their data, no matter where that content resides, ensuring that the sensitive information in intellectual property remains secure not only from threat actors, but also from employees engaging in careless behavior, malicious behavior, are serving as an unwitting accomplice after their credentials are stolen by a threat actor. These insider threats presented a growing risk for organizations, particularly in the current work-from-home environment and are driving an acute need for enterprises to gain better visibility into the remote users and the sensitive data that they access. Proofpoint's Insider Threat Management, or ITM, capability provides an elegant solution to this challenge and is delivered through a lightweight sensor that is loaded onto the endpoint to empower security teams to detect, investigate and prevent potential insider threats and obtain important contextual data to better determine user behavior and intent. Demand for our ITM Solution was exceptional in Q4 as our team found their stride and delivered several meaningful wins with new and existing customers across the Fortune 1000, which included booking the three largest transactions in the history of that product line. While we're quite encouraged by our traction here, it is important to note that ITM also provides our team with yet another attractive new entry point into enterprises, which then sets the stage for a discussion regarding our broader enterprise data loss prevention capabilities and also threat detection capabilities. The foundation for information protection platform builds on more than a decade of experience spent developing and refining our email data loss protection solution, a robust, comprehensive cloud-based DLP engine, which, at its core, leverages the same machine learning technology as our advanced threat systems. By integrating ITM and our CASB capabilities into this engine, coupled with the creation of a unified DLP incident management console, we provide the customer a single real-time view of DLP alerts across all employees and the venues were to interact with content. And importantly, the ability to immediately remediate any issue at the click of a button. We announced availability of our enterprise DLP platform in September, and we are quite pleased with the early results with solid customer feedback, strong pipeline trends and some initial orders already booked in the fourth quarter. We are seeing now our market assumption play out well and are quite encouraged at our prospects. In fact, approximately 20% of our new subscription billings booked in the fourth quarter came from the various components of enterprise DLP, specifically email DLP, CASB, isolation, ITM and endpoint DLP, all providing a solid land and expand foundation for future success in this area. Of note, CASB had an exceptional demand in the quarter, benefiting directly from the work-from-home environment, delivering strong bookings and a solid pipeline as we look into 2021. Isolation also had a very strong quarter, driven by the need to protect against a significant increase in ransomware, particularly in the health care vertical, which drove solid ARR bookings in the fourth quarter. So we're quite pleased with our progress in this area, but there is plenty of work that remains to fully capitalize on enterprise DLP. We believe that we have an attractive opportunity to deliver additional customer value with our product road map with several unique capabilities pending that will enable us to disrupt a market that, we believe, will represent approximately $5 billion in 2024. Before covering our Q4 highlights, I want to share a few thoughts on the overall threat landscape, given recent developments in the industry. Much has already been said about Solarwinds and other related breaches. So I likely don't have anything new to share on that specific hack that you haven't already read about extensively in the press. With that said, at a very basic level, the recent attacks serve as a clear reminder that threat actors are innovative, persistent and remain fully engaged in looking for new and sophisticated ways to break into enterprises, large and small, with this being true regardless of periodic lulls and press coverage that often occur. The Solarwinds hack also provides a compelling wake-up call for businesses and their boards that might have been lulled into a fall sense of security with good enough solutions, who will likely now realize that it's absolutely critical to invest in world-class tools and technology to defend their enterprises, given today's active threat landscape. As it relates to Proofpoint's environment to date, we have not identified any indicators of compromise nor have we received any notification from any other third-party that we've been compromised by the Solarwinds threat actor. We continue to actively investigate the tactics from these attacks and check for evidence of compromise. We are also working with our industry partners and forensic consultants and sharing our own threat research with customers and with the security community. I'd like to thank our engineering and security and threat research teams for their hard work and tireless focus on the security of our customers. The Solarwinds compromise also highlighted the risk to companies around the world of potential supply chain tax, whereby threat actors insert themselves into vendor and partner relationships and exploit the vulnerabilities that exist in these complex chains. While this particular event propagated through a malicious software update through our broader threat surveillance capabilities, Proofpoint has seen a significant increase in the number of supply chain attacks across almost every industry, including invoicing a shipping fraud, credential fishing and malware through business email compromise and email account compromise. Proofpoint has recently released many significant enhancements to our email product defense service, which provides customers an integrated solution to help understand and mitigate supplier risk. This was accomplished through a machine learning supplier identification model, mapping empirical vulnerabilities and threats from across the Proofpoint ecosystem to these suppliers in order to then generate supplier risk scores. Now turning to some of our key operating results during the fourth quarter and for the year. The fourth quarter capped a strong year for our core email security offerings, protection and TAP. Of note, we also saw solid contribution from existing customers that had not yet adopted these services, demonstrating that while mature, they are still an important contributor to our growth. We also continue to effectively demonstrate the strength of Proofpoint's products when compared to the baseline security solutions provided by Microsoft as part of their Office 365 bundles. Examples of customers who had moved to Office 365 and subsequently decided to upgrade their security capabilities with Proofpoint during the fourth quarter included our largest transaction in the quarter, a Fortune 100 retailer that purchased a P1 bundle for over 300,000 users, a Fortune 500 transportation company that purchased protection and TAP for 85,000 users, a Fortune 500 consumer foods company that purchased a P3 bundle for 60,000 users, and a health care company that purchased protection, TAP, EFD, isolation, PSAT and threat response for 60,000 users. We are also pleased with the success of our add-on sales into our customer base, which contributed nearly 60% of our new annual recurring revenue booked, not only here in Q4, but also for the full year. In particular, we are very encouraged by the ongoing strength in demand for our emerging products, which represented nearly half of the total new and add-on business closed, led by strong demand for Proofpoint Security Awareness Training, or PSAT, email Fraud Defense, or EFD, and also the key elements of our recently released enterprise DLP, as discussed earlier. To better highlight this momentum, I would like to share that, as of the end of 2020, our emerging products represented 29% of our ARR under contract, which is up from 25% in 2019 and 20% in 2018. Bundle products, again, contributed nicely to our Q4 results, reflecting solid customer interest in this approach, which makes it easier for customers to consolidate their spending with Proofpoint more readily embrace our integrated capabilities and ultimately eliminate unnecessary or inadequate vendors. We closed over 300 bundled deals in the quarter, primarily with entry level P0 and P1 bundles, and we also made good progress with our higher end P2 and P3 bundles. In total, bundled solutions represented nearly 40% of the new annual recurring revenue that was added in the fourth quarter as compared to just over 20% in Q4 of 2019. Other examples of customers that purchased bundles during the fourth quarter included, a Global 2000 transportation company that upgraded to a P3 bundle for 30,000 users, a Fortune 1000 chemicals company that upgraded to the P1+ bundle for 25,000 users, a Fortune 500 manufacturing company that purchased a P0 bundle for 40,000 users, and a state agency that upgraded to a P2 bundle for 10,000 users. Our momentum with emerging products, either a la carte or through bundling is further reflected in the number of customers with three or more products, which has increased from 4,000 to 5,600, an increase of nearly 40% year-over-year and now representing 70% of our customer base. Customers with four or more products totaled 4,400 or just over half of our customer base. Note that this is up from just 400 customers as we last disclosed in mid-2017, a more than tenfold increase. Despite this land and expand success, given our catalog of approximately 20 different products, we continue to estimate that our total upsell opportunity within our existing customer base remains in excess of $1 billion. We also made further progress with our archiving solution, primarily driven by our Middle Enterprise segment along with developing demand for our recently released archiving capabilities for Microsoft Teams and Slack. We had several deals converting in the fourth quarter, including a Global 2000 subsidiary that is archiving for 12,500 users, a health care system that purchased archiving for 15,000 users, and a health care system that added archiving for 10,000 users. We also remain very excited about our technology partnerships, which continue to drive our pipeline, expand our market reach and increase the overall value to customers by delivering an integrated framework across a family of best-in-class security solutions. These technical integrations contributed to several wins in the quarter, including our largest transaction with the Fortune 100 retailer, as previously mentioned, as well as a win with a leading communications company that added protection TAP, EFD, Threat Response and isolation for 7,000 users. We also continue to make progress towards further expansion abroad and are quite pleased with the quarterly results in our international business, which grew 20% year-over-year and represented 21% of total revenue. As we've shared on prior calls, we've been making meaningful investments in scaling out our international operations, and we're beginning to see encouraging returns with strong bookings in Europe and a healthy backlog, which provides further confidence as we look to 2021. We have also seen accelerating momentum in our Asia-Pacific theater, which represents another important driver for our global market opportunity. We closed notable international deals during the quarter such as the National Railway Company that purchased protection and TAP for 150,000 users, a technology services firm that purchased protection and TAP for 100,000 users and a Global 2000 financial services firm that purchased Insider Threat Management for 35,000 users. Finally, we are very pleased to have added nearly 300 people to our team around the world over the course of the past year with our total headcount at approximately 3,700 at the end of 2020. We plan to continue to invest further in scaling our team in 2021, particularly in our markets overseas as we look to capitalize on the burgeoning demand for people-centric security and compliance around the world. So in summary, we are very pleased with our strong Q4 results and our market momentum as we enter 2021. Our unique people-centric approach to cybersecurity and compliance is clearly resonating with customers and prospects alike. And we believe we are well-positioned to further execute on our plan to continue to gain share and drive attractive top and bottom line growth as we set our sights on our next revenue objective of achieving an annual revenue run rate exceeding $2 billion. With that, let me turn it over to Paul.
Paul Auvil: Thanks, Gary. We were quite pleased with our operating results this quarter. Revenue totaled $275 million, up 13% year-over-year and well above our guidance range of $268 million to $270 million. Our fourth quarter billings were very strong, coming in at $375 million, up 8% year-over-year, driven by exceptional linearity, solid demand for our core protection and TAP Solutions and accelerating demand for emerging products and bundled services. This fourth quarter billings activity again represented nearly one third of total billings for the year, reflecting a sequential increase of 27% from the preceding quarter, further underscoring the increasing seasonality we are seeing in this metric. We were pleased, in particular, with this result, given that billings duration in the quarter declined sequentially by over 5% and down 11% when compared to Q4 of 2019, landing in the middle of our targeted range of 14 to 20 months. Had our duration in Q1 been consistent with last year's result, we would have recorded billings that were at least several million dollars higher. With that in mind, we are also pleased that short term billings, also sometimes refer to as current billings, that are calculated based on the change in short term deferred revenue plus reported revenue for the period, grew 15% over the prior year, demonstrating a solid step toward driving our expected rebound in revenue growth rates in the year ahead. We are pleased that our ARR retention rate for Q4 improved to 90%, in line with the lower bound of our historical range of performance. This, despite the fact, we continue to have some COVID-related impacts in our churn due to lower user counts on renewals for customers in impacted industries, which have experienced layoffs or furloughs. Turning to expenses and profitability for the fourth quarter. On a non-GAAP basis, our total gross margin was 81%, above our expectations, driven primarily by our strong revenue performance. Total non-GAAP operating expenses increased 14% over the prior year period to $178 million, representing 65% of total revenue. We reported non-GAAP net income of $33 million, above our guidance range of $26 million to $28 million. In terms of cash flow, we generated $56 million in operating cash flow, including $1.5 million of reimbursements received from the landlord for tenant improvements and invested $27 million in capital expenditures, which included $18 million for our corporate campus, resulting in free cash flow for the quarter of $29 million. This result was well above our guidance range of $3 million to $5 million with the majority of this upside being driven by the exceptional billings linearity that I mentioned earlier, paired with excellent execution by our collections team during the quarter. We opened our new corporate campus in November, which we expect will provide plenty of capacity to accommodate our planned growth over the coming decade. I'm pleased to report that in the final tally, the total net cost came in almost $3 million below our original estimates. In total, we invested $38 million in capital spending for the project, offset by $16 million, in terms of capital reimbursements from the landlord. And while this campus is a noticeable upgrade compared to our prior headquarters with the new building, meeting lead gold certification for enhanced environmental efficiency, we believe it is one of the least expensive projects of the scale completed in Silicon Valley over the past several years. With the capital base of the project complete, as of the start of the year, we are now incurring the full expense for the new campus. So for modeling purposes, this 11 year lease with a straight-line expense of $14 million per year, which represents an increase of $8 million in annual expenses compared to our old campus. Wrapping up capital allocation, I'd like to provide a brief update regarding our share repurchase program. In the fourth quarter, we purchased a total of nearly 1.2 million shares at an average price of $104, representing $128 million invested in total. Since the program's inception in September of last year, we have now repurchased a total of 1.3 million shares at an average price of $104, representing $139 million invested or nearly half of the $300 million program that we announced in August. We are quite pleased with our repurchases to date, and our Board of Directors continues to view Proofpoint stock as an attractive investment at current levels. And as such, despite the improvement in the stock price over the past several months, we do plan to continue our share repurchase program here in 2021. With 2020 now behind us, let's move on to guidance. As we start the New Year, we remain well positioned with a broad product line, a loyal customer base and a favorable competitive environment. While we are quite pleased with our Q4 performance and though we do believe that we could see increased security spending as a result of the Solarwinds breach at some point in 2021, for now, it's still too early to determine how this might serve as an additional demand driver in the year ahead. And consistent with Fed Chairman Powell's comments last week, we do recognize that there is still considerable uncertainty regarding the timing of the end of the pandemic and its associated headwinds and hence, the slope of the economic recovery in key economies around the world. So with all that in mind, let me remind you that our guidance is based on what we know as of today, and that the COVID-19 pandemic continues to create additional complexity in forecasting, which we could, of course, change depending on how the crisis plays out in the months ahead. So in terms of revenue guidance, as we discussed in October, we continue to see a U-shaped recovery over the next several quarters. But with that said, I'm pleased to report that given the strength of our fourth quarter performance, our overall outlook for 2021 has improved markedly. And as such, the bottom of the EU in terms of growth rate is now over 200 basis points higher than our original view back in October, providing further support for year-over-year revenue acceleration over the course of 2021. For the first quarter, in particular, we are targeting a range of $280 million to $282 million in revenue, representing approximately 13% year-over-year growth and in line with Q4's annual growth rate. From there, we expect year-over-year revenue growth to increase by 50 to 100 basis points in the second quarter with further acceleration taking place in the second half of the year as the global recovery begins to take hold. This trajectory takes our expectations for annual revenue to a range of $1.19 billion to $1.2 billion. We expect Q1 gross margins to be approximately 80% and to remain relatively stable at that level throughout the year. Moving on to non-GAAP net income, as we've seen over the course of the pandemic in 2020, our spending, regarding travel and entertainment, office space and in-person marketing events, was significantly reduced, benefiting our results in 2020 from April through December by a total of just over $17 million. As the crisis abates, we expect to increase spending for these items and also to reaccelerate hiring. Additionally, with our new corporate campus, our rent expense will increase by approximately $8 million for the full year, as I mentioned earlier. As a result, we expect 2021 to be a recovery year as we work our way back to more normal economic activity. And as such, we expect non-GAAP net income to be in the range of $125 million to $130 million, roughly flat with 2020. This translates to approximately $1.91 to $1.99 per share using 66.4 million shares outstanding. We expect Q1 net income in the range of $25 million to $26 million or $0.39 to $0.40 per share using 65.6 million shares outstanding. Also, as a reminder, non-GAAP EPS is calculated under the If-Converted method, which assumes the full conversion of our 2024 convertible debt or roughly 6 million shares and then adds back the $1.9 million in cash interest expense associated with it in order to calculate earnings per share. Non-GAAP EPS also includes the dilutive effect of employee equity incentive plan awards. This guidance also assumes depreciation of roughly $40 million to $42 million for the year and $10 million in Q1, specifically. We expect a non-GAAP tax rate of approximately 17% throughout 2021. And as a final note, regarding net income for 2021, we plan to adopt ASU 2020-06, effective January 1, 2021, on a retrospective basis, which will result in the accounting of our convertible notes as a single unit of account on the balance sheet, resulting in a decrease of GAAP interest expense and net loss. As a result, when we report 2021 results, we expect that the 2020 GAAP net loss will have been improved by approximately $30 million or $0.53 per share. This change will have no impact on either our non-GAAP net income or our cash flow. Now turning to guidance for cash flow. Similar to net income in 2021, it will be a recovery year for free cash flow as we see gradual return to normalcy in our spending in light of a recovering global economy. And with that in mind, we expect free cash flow to range between $200 million and $210 million for the year, assuming duration holds steady with 2020. Now I'd like to break this down to highlight a couple of additional items that this range absorbs when compared to our 2020 results. First, as I just noted, we expected T&E in spending to increase in 2021, as we recover from the crisis and spending normalizes. And hence, the $17 million in savings realized in 2020, will gradually weigh in here in 2021 as this spending comes back into our daily operations. Second, over $20 million of free cash flow over performance realized in the fourth quarter was a result of collections pulled into 2020, thanks to our strong billings linearity and as such, effectively reduced our 2021 planned cash flow by a corresponding amount. And finally, we do have fewer multiyear transactions up for renewal in 2021 when compared to 2019 and 2020. Capital expenditures for 2021 are expected to be approximately $45 million or roughly 4% of revenue, which includes approximately $9 million in investment to open a new office complex in Israel, enabling us to bring together all of our teams in that region into a single world-class facility and position us as an employer of choice in that important market for cybersecurity talent. And similar to our Sunnyvale campus, we will receive partial reimbursement from the landlord for this build-out, which will run through operating cash flow line, totaling $4 million. Note that as we saw in 2020, we expect that roughly 50% of our 2021 cash flow will be delivered in the first half of the year, with the vast majority of that taking place in the first quarter as a result of our strong Q4 billings performance and timing of customer payments. As such, we expect to generate approximately $80 million to $85 million of free cash flow in the first quarter, while investing $8 million to $9 million in capital expenditures. Before wrapping up, I'd like to point out for everyone that during our earnings call in October, we outlined a few key reminders in terms of the seasonal trends that impact our business. And so please refer back to that transcript when we're finding your financial modeling for 2021. In conclusion, we continue to execute well, delivering strong top and bottom line operating results in the fourth quarter and for the full year 2020, through an extremely challenging operating environment. And we remain well-positioned competitively and secularly. While we expect 2021 to be a recovery year from the headwinds we faced in 2020, we look forward to the gradual reacceleration that we plan to deliver over the arc of 2021, and we believe that Proofpoint remains well-positioned to continue to drive disciplined and profitable growth, and importantly, our expected return to our Rule of 40 framework in 2022. With that, I'd like to turn it back to Jason to review our Q1 IR calendar before taking questions from ourselves and analysts. Jason?
Jason Starr: Thanks, Paul. And before I go through that, I just wanted to clarify one quick comment. Paul had made a comment on ASU 2020-06, that will actually reduce GAAP net income, not increase it by $30 million. So I just wanted to clarify that for the transcript. With that said, in the fourth quarter, we'll be presenting at the Goldman Sachs Technology and Internet Conference on February 10, the JMP Security Technology Conference on March 1st and the Morgan Stanley TMT conference on March 3rd. The webcast of these presentations will be available on our website at investors.proofpoint.com. Additionally, I wanted to note that like early next week, we'll be providing some additional information about Proofpoint's corporate responsibility efforts, which will be available on our IR website on a new Corporate Responsibility and Governance section. Before turning it over to the operator for questions, I would like to request that everyone please limit themselves to just one question to help reduce the duration of our call and to assure as many analysts as possible have a chance to be included in today's discussion. Thanks for taking the time to join us on our call today. And with that, we'll be happy to take your questions now. James?
Operator: Thank you, Mr. Starr. [Operator Instructions] And we'll take our first question today from Jonathan Ho with William Blair.
Jonathan Ho: Hi. Good afternoon, and congratulations on the strong results. I guess one thing I wanted to start out with is, what are you sort of baking into your assumptions around the impacted industries for your 2021 guidance? And is there - what are the guideposts we should be looking for in terms of those headcounts potentially returning?
Gary Steele: Yes. That's a good question. So we think at this stage that we'll be able to maintain a renewal rate that's in that 90% or better range as we work our way through '21. So that's part of the assumption. For those customers that have seen some furloughs and layoffs, the notion of those coming back in as part of the new and add-on business, if you will, that helps repropel growth, we've made a pretty modest assumption. And so while we're hopeful that some of these industries will get back on their feet and do some rehiring sooner rather than later, for now, we're really not making an assumption that they all snap back to normalcy anytime soon. So in the second half of the year, I'm assuming some modest recovery, but nothing significant.
Jonathan Ho: Thank you.
Operator: Next, we'll hear from Rob Owens with Piper Sandler.
Rob Owens: Good afternoon. And thanks for taking my question. Gary, would love to kind of get a little more visibility around where customer conversations are right now? And I think there's been a pretty wide debate in terms of where email and the protective capabilities you offer gets prioritized in the post sunburn - Sunburst, excuse me, environment, that being said, no further information is coming out around supply chain and email compromise. So maybe you can just talk about where customer conversations are right now? Thanks.
Gary Steele: Yes. No, great question. I spent a pretty significant amount of my time interacting with CSOs [ph] And I would say that the Solarwinds Sunburst, and I actually like the word Sunburn because it sort of feels like that. I think that what we're seeing is a much broader focus from outside of the security teams - on the security teams in terms of what they're doing to ensure that their organizations are well protected. We continue to hear that - and there's this broad concern from leadership, et cetera, around phishing, the importance of protecting their users. And I think one of the things that the Solarwinds threat actor highlighted in their activities as email was a prime focus. So as you saw disclosed, Solarwinds indicated that they felt the threat actor had been in their email environment in advance of the actual breach. The threat actor has clearly demonstrated that they care about email. And so this has become a much higher priority in terms of the conversations we're having. And we do believe that it's just raising the visibility and importance of what we do every day.
Rob Owens: Thank you.
Operator: Next, we'll hear from Hamza Fodderwala with Morgan Stanley.
Hamza Fodderwala: Hey, guys. Thank you for taking my question. Maybe following up on the last one, just around the prioritization of your solutions. We've been hearing a lot about more about security awareness training. I know internally, we're doing a lot more of that as well. I'm wondering what kind of tailwinds you saw there in 2020? And whether you think that category is going to be particularly a more important area of spending for enterprises going forward?
Gary Steele: Yes. Good question. We've seen - as we got into the back half of '20, we saw that business accelerate. So as we got into Q4 and what we're hearing from customers today is building that broad resilience within the user base has been a high priority. I would say that as we went into COVID to go back a full year ago, we saw some organizations putting some of those projects on hold. We've seen that really change as we got into Q4, given that the events that have happened around the globe. So we're really very bullish on the opportunity associated with raising awareness to our PSAT solution, and we're seeing quite good demand globally for those capabilities.
Hamza Fodderwala: Thank you.
Operator: We'll now hear from Andrew Nowinski with D.A. Davidson.
Unidentified Analyst: Hi, thanks for taking the question. This is Hannah on for Andy. Congrats on a great quarter. And I know the Solarwinds attack was really late in the fourth quarter. So just curious what demand dynamics you've seen since? And how it's translated to guidance such as is this adding to the pipeline, changing conversion rates or just increase in general customer interest in areas such as DLP? Thanks.
Paul Auvil: Yes. I'll start. I would say that we were really pleased with how fourth quarter came together, but the Solarwinds attack didn't really seem to change anything about the trajectory of the business as it was already coming together. Maybe on the margin in a couple of accounts, it might have created a little more urgency to get a deal closed in the fourth quarter. But we saw no net new pipeline created that was closed in Q4 related to that. I would say and as I talked about on the - in my prepared remarks, for now, we're not really baking anything in, in terms of a notional step-up in demand related to this hack and how it's changed the demand environment. Certainly, there's the potential for it to improve things. But I would say that the baseline, as I just watch the sales teams execute, we have weekly forecast calls that both Gary and I participate in. I would say that it's kind of current course and speed, just based on the same demand environment that we saw throughout the fourth quarter now rolling over into Q1. We're, of course, Q1 is always cyclically down in terms of new and add-on business as compared to the fourth quarter, but nevertheless, kind of current course and speed. Gary, I don't know whether you have anything to add?
Gary Steele: The only thing I would say is as we've gotten into the early conversation in this new fiscal year, I think budgets will be healthier, but that's just a - that's a qualitative view, very early as we enter 2021. Maybe go to our next question?
Operator: Certainly. We'll take our next question from Matt Hedberg with RBC Capital Markets.
Matt Hedberg: Hi, guys. Good afternoon. Thanks for the time. Gary, what's stood out to me, you noted 20% - I believe you said 20% of subscription billings came from enterprise DLP, which is really good to hear. Can you talk a little bit more about the pricing for this module versus maybe some of your base offerings? And are these competitive replacements or more greenfield opportunities?
Gary Steele: Yes. So I'll start, and I'll let Paul comment on pricing. But what we see in the market is many customers that had invested heavily in the first generation of DLP today with deep implementations of something like a Forcepoint or a Broadcom, Symantec. And we look at those organizations, and they're - they really want to get to the next-generation given that the architecture is fundamentally changed as their workloads have moved to the cloud, data doesn't live behind the firewall anymore. They have to do something different. And the interesting thing about this is the COVID accelerated people's need to change because you had all these individuals sitting working from home no longer on the corporate network and those classic DLP control is basically not solving any problem. So it is a takeout market, and then there's - and there are portions which are greenfield in that, for example, all of the cloud app data loss issues are really new. So CASB, for example, really tackles the issues surrounding what people need to do with their cloud app. So I think from the perspective of budgets, we're taking budgets that were going to existing incumbent vendors, we're converting that into next-generation capabilities that include greenfield opportunities like CASB.
Paul Auvil: And on pricing, well, we haven't really talked about this much externally at this stage, it's early in the market right now albeit a lot of it is a replacement market. But because it involves a number of new capabilities that legacy platforms that are on-premise solutions from Symantec and McAfee don't include. I would say that the pricing, so far, would continue to - would suggest that the ASPs are quite a bit healthier than just kind of core email protection and advanced threat. So it's a very nice uplift when we go in and engage in an existing customer that may have our core threat protection suite, selling them the enterprise DLP bundle that includes email DLP, our CASB capabilities with the cloud DLP engine, along with endpoint DLP. It's quite a nice uplift over the existing spend.
Matt Hedberg: Thanks, guys.
Operator: Now we'll hear from Walter Pritchard with Citi.
Walter Pritchard: Hi. I'm wondering, Paul, on the duration comment you made, it sounds like things ticked down actually. And usually, I guess you've seen when the macro is tougher, that happens and macro seems like it's improving. Just wondering how you're thinking about what drove that behavior in customers? And how you're thinking about that going forward?
Paul Auvil: Yes, it's a good question. It's always a little hard for us to plumb the depths of why customers do more 2 or 3 year transactions in one quarter and then do fewer in another. If I just had to give you kind of my gut reaction, just from watching the cadence of what's happening, I do think that while on the one hand, doing multiyear transactions gives you a little bit of a discount, the other side of it is you're putting a lot more money down. And in a world where I do think people are trying to figure out how to better cover off all their security and compliance mandates, I think there's a tendency to want to pay a little bit more per user per year, but have some extra dollars that are available to spend across a wider set of solutions. And so if I had to guess, that would be sort of my intuition of what's going on, but you can't really say. All I can say is we did a lot of 1 year deals, which means by definition, those folks didn't want to take us up on the standard discounting for 2 or 3 years. The great news is we delivered a really good billings result despite the lower duration. And of course, that lower duration just means healthier pricing and better long-term cash flow for shareholders as a result.
Walter Pritchard: Yes, great. Thanks.
Operator: Gray Powell with BTIG has our next question.
Unidentified Analyst: Hi. This is Stefan on for Gray. Thanks for taking my question. I know you mentioned that you had some customers that upgraded to Office 365, who also upgraded with you. But have you seen any change of pace of disgruntled Microsoft email customers who've been looking to switch to a better email security solution over the last 6 to 12 months?
Gary Steele: I would say, we have a pretty constant pace of customers moving off of Office 365 once they've tried those security controls. And what we typically do is demonstrate to them the level of efficacy and visibility we can deliver to them, and it's through that basically quantitative approach that we convince customers. But I would say it's been really consistent for the last 6 months.
Unidentified Analyst: Okay. Thank you.
Operator: Next, we'll hear from Alex Henderson with Needham.
Alex Henderson: Thank you very much. I wanted to go back to the Solarwinds hack and just to understand to what extent you've had any more than just anecdotal conversations with CSOs, CTOs, CEOs, CFOs, C-suite players that have indicated to you that as a result of the timing of the disclosure of this, it actually has gone right to the Board level and resulted in a meaningful change in spending for security. The Street has certainly come to that conclusion. Our VAR survey that we had did virtually to the man suggested that spending was going to kick up. And our recent in January survey of CSOs to the man, 100% stated that they were seeing an expansion in spending. So have you got more than just a quasi feeling? Have you actually had conversations where people have suggested the magnitude of that improvement?
Gary Steele: I think all that's happening now. So I've had many CSO conversations where that dialogue is in process, but no, this is not much our budgets increase as a result. There's - most of those conversations tend to still be in process because most CSOs are right now working to ensure that they didn't get hacked, and they're working hard to understand any impact they may have had from that threat actor. So I think it's a little early to conclude the magnitude or change that we'll see in the budgetary environment in '21.
Alex Henderson: Good. Thank you.
Operator: Our next question comes from Steve Koenig with SMBC Nikko.
Steve Koenig: Thank you. Yes, SMBC Nikko. Thanks, guys. Question for you, Gary. Just building on your commentary about enterprise DLP earlier, that was helpful to understand how you're selling and replacing legacy vendors and seeing greenfield opportunities. I'd be interested in color in comparing your approach to some of the other next-generation vendors because there is so many different angles to go after this cloud security and remote workers? And there's - and in particular, like people that are - vendors that are using kind of a 0 trust network access, combined with secure web Gateway and CASB versus you all with a more kind of DLP positioning, also bringing in your TAP and CASB. So like what are the use cases that would drive one approach over the other? When does Proofpoint's angle make sense versus some of the other approaches that are out there from the next-generation vendors? Thanks very much.
Gary Steele: Yes. No, great question. So our approach is very much, again, in line with our overall framework. So we're taking a people-centric approach to this. And we are providing visibility and insight as to what people are doing with critical data. And because our approach incorporates not only CASB but also an endpoint agent, we can give - and combining that with our email solution, we can give full visibility as to what a user - a specific user is doing with specific forms of data. And that broad insight is giving people capability that they never had before. So a simple use case, like, okay, so you've got an employee who is going to be leaving the company, they haven't announced it yet. Say it's somebody in sales. They download their customer list, from Salesforce, and they moved into the personal Dropbox. Within Proofpoint's DLP solution, you can get clear visibility of that. Not only do you understand what they did with Salesforce as a cloud app, but then you can see exactly how they treated that data and once it got on their device and they moved it into their personal Dropbox. So we're really benefiting from this people-centric point of view. And then I think the other thing that is unique about our overall offering is we're applying all of our advanced threat detection capabilities within that broad cloud environment. So not only are we helping protect the data that users create, we're also giving security organizations visibility and insight as to different forms of threat, whether they be email account compromise, which seems to be top of mind today, given Solarwinds sunburst et cetera, we're giving them insight and visibility that other vendors simply don't have because they haven't lived in the threat world.
Steve Koenig: Great. Thanks, Gary. And congrats on the quarter.
Gary Steele: Thank you.
Operator: We'll now hear from Taz Koujalgi with Guggenheim Partners.
Taz Koujalgi: Hey, guys. Thanks for taking my question. Paul, you mentioned that you're feeling better about the business than you were three months ago. Last quarter, you made a comment that biddings growth in '21 would be lower than revenue growth. Do you still hold that view given the improved, I guess, the improved fundamentals that you're seeing now?
Paul Auvil: Yes. I think if you go back to some of the things that we talked about in the prepared remarks, I think that given the fact that we have fewer multiyear renewal opportunities in 2021 as compared to 2020, just given the nature of the way all things come together, I think that will likely still be true. We'll see, especially now with duration, even a bit lower than we'd originally expected. So - but the net of it is, I do feel good about the business. I think the strong fourth quarter was quite good. And as I talked about it, it raised the base of the EU by a full 200 basis points in terms of the growth rates in both Q4 and Q1. So I think we exited the year with what we thought were quite a good set of results, and we are excited to go execute here in the first quarter and drive this reacceleration of growth across the arc of '21.
Taz Koujalgi: Thank you.
Operator: We'll now hear from Phil Winslow with Wells Fargo.
Phil Winslow: Hey, guys. Thanks for taking my question. Congrats on a strong close to the year. One of the things that jumped out to me was just the emerging products and their contribution Q4 - really for the full year too and particularly in the second half. Wondering if you can provide just more clarity on sort of what's driving that? And how are you thinking about sort of the potential there in '21?
Paul Auvil: Yes. I mean, just generally speaking, with emerging products, it's one of the things I really like is that we're seeing a broad contribution from the full set of products. So it's not just one solution like security awareness training or CASB that are driving it, we're seeing good demand across all of those emerging products. And then as Gary specifically highlighted, our newer insider threat management and endpoint DLP products also had a nice set of deals that we closed and some nice business in the fourth quarter. So the fact that we've got this diversified portfolio of emerging solutions that are all now executing well and contributing to growth, I'm quite excited about. And again, when you look at those statistics around a number of customers with three products, a number of customers with four or more products, it just really speaks to the strength of the add-on cycle going into this very large installed base of very happy customers and selling them additional capabilities, which is very much a key theme in the emerging products. But with that said, the other point that Gary made in the prepared remarks is that the emerging products are also a great way to get into a customer who for whatever reason, they're not ready to swap out their core email security solution. This just now gives us multiple other dimensions to go in and start that relationship with the customer in a land and expand basis and then sell the other elements of the product line down the road.
Phil Winslow: Got it. All right. Thanks, guys.
Paul Auvil: Thanks, Phil.
Gary Steele: Thank you.
Operator: Erik Suppiger with JMP Securities. Has the next question.
Erik Suppiger: Yes. Thanks for taking the question. Two, if I might. One, the share buyback you bought over $100 million worth, I think that was a $300 million authorization. How should we think of your objectives as we go forward with the buyback? And then I have a follow-up.
Paul Auvil: Yes. So to your point, I think what I've shared on the call is that we've spent about $139 million so far at an average price of $104 a share. So not quite halfway through that authorization. I think we're quite pleased with the execution around that. And so having a discussion on the most recent Board meeting, the Board's view is, look, even with the improved stock price, we still view the stock as an attractive investment. And so there's an intention to continue with the stock repurchase program, stock buyback even with stock price trading in the $120s and $130s. So the specifics behind that program, we don't release externally for obvious reasons. But I'd be surprised if this time next quarter, people won't be pleased with the additional shares that we've repurchased, depending, of course, on the stock price performance in the next 90 days.
Erik Suppiger: Okay. Very good. And then so your emerging products, I think they had been 40-ish percent of the new and add-on business last quarter, they picked up to 50-ish percent or nearly 50% this quarter. What is going on with the non-emerging products? Are you pleased with the growth there? Or how should we think of the traditional email protection growth?
Paul Auvil: Yes. The underlying success with our core email security product continues to be really solid baseline. Emerging products obviously have higher growth rates because we're working off smaller denominators on a year-over-year basis. But as Gary articulated a number of examples on the call today, we're seeing lots of uptake for email security to net new accounts, both customers that are buying just core protection and TAP, but also people who are coming in and their initial purchase with Proofpoint is a P0 or P1 or P1+ bundle. So I think we continue to be very pleased with the performance there. The huge investment that we've made over the years around a combination of machine learning and other technologies to drive efficacy of that solution stands out every day, day in, day out, when we're going out doing evals [ph] because it's one of the great things about having a cloud-based solution. It's very easy for us to configure a full production email, where we'll just simply take the mail flow that's otherwise flowing through whatever filtering solution you're using and we'll also run through our filter and show you exactly what's being missed that we would otherwise catch. And so we continue to make important investments there. We added a number of people to that team here in 2020. We continue to add more people to that team in '21 because it's all about superior efficacy and having the best engineers in the world working on that problem is what it's all about.
Erik Suppiger: Very good. Thank you.
Gary Steele: We will go to next question.
Operator: Certainly. We hear from Andrew King with Colliers Securities.
Andrew King: Hi. Thanks for taking my question. I just want to get an idea with the bundles. With the newer customers, when are they initially purchasing a higher more advanced bundles versus the P0, P1 bundle? Thanks.
Gary Steele: Yes. We do occasionally see initial customers buying a P2 or a P3. But generally speaking, when you think about it, those bundles include a lot of technology, the bigger ones. And as a result, there's a fair amount of work, especially when you think about things like CASB, browser isolation, some of the other things in those larger bundles that have a relatively longer time line to get deployed. And so we don't want to overly discount to get to a bigger bundle nor do we want to overly push the customer. So our view is, why don't you go ahead and start with a P0 or P1, that stuff really easy to implement will be up and running immediately. And then we'll start working on adding the other capabilities, and then we'll eventually upgrade you to a P1+ or a P2 or P3. And so we find that, that's a very successful sales motion. We view our relationships with customers spanning decades, and we've got many customers we've had for well over a decade now. And so kind of that pressure sales tactic of by the biggest thing you can right from the get-go, it just tends to be irritating. You never want shelfware in the subscription world. And so we just want to focus on selling the customer exactly what it is they need and want to deploy today, we get that closed, and then we drive add-on sales from there.
Andrew King: Great. Thank you.
Gary Steele: Thanks.
Operator: Next, we'll hear from Brian Essex with Goldman Sachs.
Brian Essex: Hi. Good afternoon. And thank you for taking the question. I was wondering could ask about on-prem versus cloud exposure. Do you have like a revenue mix for each? And what are the trends that you've seen over the last year and expectations ahead for, I guess, migration to a hosted email platform and how that might drive your business differently in 2021 as opposed to 2020?
Paul Auvil: Yes. We don't have great data on exactly which of the broader customer set is running in the Office 365 cloud versus still running exchange on-premise. I can tell you that for us, that migration to the cloud has certainly been useful. But I would say that the one thing that's fundamentally true about email security is that unlike, for example, your firewalls, where the average employee would have no idea whether or not the firewall is doing its job correctly. With email security, every employee from the CEO all the way down to the line workers, all have an experience with the efficacy of that solution day in, day out. So it doesn't matter whether the email itself is running whether that system is in the cloud or on-premise, if your filter is not working well and it's letting attacks in, everybody in the company can see it. And so that's just an ongoing advertisement for upgrade to Proofpoint when you're not running Proofpoint because of the degree to which you're seeing attacks and other spam -- unwanted content getting in. So for us, it's the same way we've always run our sales cycle back when everybody was on-premise years ago before Office 365 came along. And so as more and more people have moved to Office 365, it's said when we run our sales cycle today. And as an example, when Gary talked about the people who upgraded from Microsoft to Proofpoint, and by the way, we have examples of that every quarter, those are all customers that by definition are running in Office 365 have tried out the Microsoft Solution and then upgrade to Proofpoint. So the net of it is, it's hard for us to see exactly where we are in that migration cycle, but it doesn't really seem to matter at this stage. We're still seeing really good productive blocking and tackling and upgrading people from whatever legacy solution they're running on and moving it over to the Proofpoint cloud solution.
Brian Essex: Okay. But I mean, in terms of the C-suite conversations that you might have, is it an enabler of like transformation of hosted solutions? Or are you more of agnostic to the platform with regard to any hosting environment or transformation processes that may be in process?
Gary Steele: No, I think we - this is Gary. I think we benefit from that broader digital transformation, where people are moving from an on-prem environment to the cloud and working to eliminate their data centers, et cetera. And we do see organizations, for example, that are running Symantec on-prem, and they've had it for a long time and they decide they want to move their email to the cloud, they want them want to bring all that security infrastructure to the cloud, there's still a fair amount of that's still out there and we encounter that every day. And that's been fueling our growth in the past, and we think that, that will continue to fuel our growth over the course of the next three years. It's a long tail there.
Brian Essex: Yes, very helpful. Thank you.
Gary Steele: Thanks,
Operator: Our final question will come from Nehal Chokshi with Northland Capital Markets.
Nehal Chokshi: Thanks guys. I got a couple of questions. Can you just talk about how business has carried so far in this quarter? It seems like it may have been particularly a little bit better, given seemingly robust guidance here?
Paul Auvil: Yes. We didn't give an official update in the script, but I would say that we're on track with kind of a normal Q1. So it's nothing extraordinary, but we're happy with the way and track for how we closed out January.
Nehal Chokshi: Okay. Great. And then what was the driver of the improved retention rate?
Paul Auvil: I think at the end of the day, the most important thing on the margin was just the difference in COVID impacts for key customers that were up for renewal in the fourth quarter. And so each quarter is a little different in the mix of people who are in various industries. And so it's just the mix of renewals that we had up for renewal in the fourth quarter. As a percentage of the overall total was probably slightly underrepresented in some of the COVID impacted industries, whether it's energy, health care, what have you, and so that helped. And then I would say that we - as everybody has already experienced, there has been a little bit of recovery in hiring in some of these industries from sort of a low watermark that they may have hit earlier on in the pandemic, where they realized the business isn't quite as challenged as they thought it would be. And so they brought some folks back. So that's helped as well.
Nehal Chokshi: So basically, it's largely driven by the hiring environment of your customers - hiring and firing environment...
Paul Auvil: Yes, for us - yes, that difference between being a bit below 90% last quarter back in Q3 versus being at that 90% threshold, which is sort of at the low end of our historical range, really is just the degree to which there were layoffs and furloughs in the installed base of customers that work for now in Q4 compared to Q3 and Q2.
Nehal Chokshi: Got it. Okay. Thank you very much. Fantastic quarter by the way.
Paul Auvil: Thanks you. Appreciate it.
Operator: That will conclude today's question-and-answer session. I will now turn the conference over to CEO, Gary Steele, for any additional closing remarks.
Gary Steele: Thanks. I want to take a moment and thank everyone for joining us on the call today. We're very pleased with our Q4 results and our continued progress with our people-centric approach to cybersecurity and compliance, while also supporting the health and safety of our employees and customers. We believe we remain well-positioned to drive attractive returns for our shareholders, and we look forward to talking to you on our next call and to see many of you virtually on the conference circuit this quarter. We wish you all good health as we press forward through the crisis and with the hope that we return to normalcy soon. Thank you so much.
Operator: That will conclude today's conference. Thank you for your participation. You may now disconnect.